Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Costamare Incorporated Conference Call on the Second Quarter 2020 financial results. With us, we have Mr. Gregory Zikos, Chief Financial Officer of the company. At this time, all participants are in listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that this event is being recorded today, Tuesday, July 28, 2020. We'd like to remind you that this conference call contains forward-looking statements. Please take a moment to read slide number 2 of the presentation which contains the forward-looking statements. I'll now pass the floor to your speaker today, Mr. Zikos. Please go ahead, sir.
Gregory Zikos: Thank you, and good morning, ladies and gentlemen. During the second quarter, the company delivered strong results. Liquidity stood at around €220 million, and as already announced, during the second quarter of the year, we concluded our refinancing program, resulting in a smooth repayment profile with no meaningful debt maturities until 2024. On the market side, [indiscernible] capacity has started decreasing, indicating improving market conditions. Demand continues to favor the larger and medium sizes and especially ships above 8,000 TEUs. Market activity has picked up, and we have chartered in total 24 ships during the quarter. After months of inactivity, the demolition market has reopened, and as part of our fleet renewal program, we have sold for demolition two 7,000 TEU ships which we plan to replace with younger tonnage. Moving now to the slides presentation, on slide 3, you can see the highlights. We maintained a strong balance sheet with liquidity of about €220 million, leverage of approximately 40%, and no meaningful debt maturities until 2024. Adjusted net income for the quarter rose by approximately $5 million to $32 million. The adjusted EPS is $0.26, a 13% increase compared to Q2 2019. The net loss of $84 million is due to one-off noncash losses of close to $110 million relating to asset disposals. Moving to slide 4, our adjusted net income for the first half of the year rose by approximately $25 million to $64 million. The adjusted EPS is $0.54, a 54% increase compared to the first half of 2019. Net losses for the first half of the year amounted to $58 million due to one-off noncash losses of about $110 million relating again to asset disposals. Since the beginning of the year, we have raised more than $435 million in debt financing. Slide 5, we have continued our efficient fleet operation with competitive operating expenses of just over $4,900 per day per vessel. We have recently taken delivery of our first 13,000 TEU containership out of a series of five sister vessels. The ship has commenced this 10-year charter with Yang Ming. The remaining four new buildings will also commence their respective 10-year charters upon their deliveries. Finally, as part of our fleet renewal program, we sold two 23-year old sister vessels, and as already mentioned, we plan to replace them with younger tonnage. Moving to slide 6, in a volatile charter environment, we have chartered in total 24 vessels during the quarter. Although the containership market has been negatively affected by the COVID outbreak, there are signs of improvement in charter rates and market activity over the past 2 months. The idle fleet has been decreasing while the order book has dropped to 9% and is expected to remain low. Finally, we will pay our 39th consecutive quarterly dividend in August. Insiders have been participating in the DRIP and since inception, have reinvested in total $90 million. On the next slide, this is slide 7, you can see the second quarter 2020 results. During the second quarter of this year, the company generated revenues of $112 million and adjusted net income of $32 million. Based on the above, the second quarter adjusted EPS increased by 13% from last year to $0.26. Our adjusted figures take into consideration the following non-cash items: the accrued charter revenues, accounting gains or losses from asset disposals and other noncash items. On slide 8, we are discussing our capital structure. Our leverage is comfortably below 50%. Net debt to 12-month trailing EBITDA is 3.3 times and EBITDA over net interest expense is at 5.2 times when our covenants have a minimum requirement of 2.5 times coverage. On slide 9, we are showing the revenue contribution for our fleet. Almost 100% of our contracted cash comes from first-class charterers like Maersk, MSC, Evergreen, Cosco, Yang Ming and Hapag-Lloyd. We have $2.1 billion in contracted revenues at the remaining time charter duration of about 3.5 years. On the last two slides, we're discussing the market. As shown on slide 10, charter rates are showing signs of improvement mainly for the larger vessels. Box rates have risen by 25% over the past three months. On slide 11, the idle fleet has been reduced to slightly below 8%. The order book has fallen to 9% and it is expected to remain at low levels. As mentioned our main priority is to cover our downside risk, while at the same time looking for opportunities in such a volatile market environment. This concludes our presentation, and we can now take questions. Thank you. Operator, we can take questions now.
Operator: Thank you. [Operator Instructions] The first question comes from Chris Wetherbee of Citi. Please go ahead.
Liam Garrity-Rokous: Hi. This is Liam on for Chris. Thank you for taking my question.
Gregory Zikos: Hi. Good morning.
Liam Garrity-Rokous: So I just wanted to start off with the charter market. I know things have been pretty challenging there recently, but I just wondered if you could provide your thoughts and the outlook going forward. And also your perspective on charter durations and if you think that they might shorten in the current environment.
Gregory Zikos: Yes. Generally over the last couple of months we have seen charter rates picking up. And as I mentioned in my commentary, this is especially for ships of 8,000 TEUs and above where the supply and demand dynamics are favorable. Of course, we are not at the 2019 or sort of the fourth quarter of 2019 charter levels, but definitely the market has been picking up both in terms of activity as well as in terms of charter rates. The same applies for the panamax -- for the mini panamax vessels. The feeder ships they have not seen a lot of upside recently leaving aside the smaller eco vessels. But generally for the larger sizes, I see that the margin has been slightly improving. Apart from like increased activity, of course, definitely extension options in charter as favor. However, we have seen fixtures ranging for longer periods now compared to the fixtures we saw, let's say, in March April. So, I will say that generally, there are positive signs in the charter market. Now we cannot predict the market and we never do it. Container shipping is I would say, 100% correlated to global GDP. So the more economies are opening up and people are likely to resume their daily activities I think the better it is going to be for the global trade and consequently for container shipping.
Liam Garrity-Rokous: Got it. And I just had an additional question. We obviously understand that the order book is at historically low levels and that your building activity is pretty minimal lately. But I'm just wondering in your opinion like what is driving this? Is this more structural in nature such as being related to the IMO regulations? Or is it just based on the current macro environment?
Gregory Zikos: It's a lot of things. First of ,all I guess, you're right, like the order book today is close to 9%, which is probably the lowest figure we have experienced over the last years and it's a couple of things. First of all, liners are like ship owners, they don't want to commit today, especially where there's still some uncertainty in the market. Especially for charter owners like us, it would be difficult to commit without – especially for the larger vessels without fixed employment in place. Secondly the capital markets – the debt capital markets commercial bank debt, although it is there, it's much more scarce compared to the debt levels we saw in the past. And so until people feel more comfortable regarding where the market is heading, I think it's going to be difficult to see, I would say increased activity in new building ordering soon, which as you understand this is positive for the supply and demand dynamics. And I would say that from 2022 onwards, today's order book is very, very thin. So overall, this is I would say a positive development. And on top of that I would have to add that, we have also seen some increased activity in demolition. We know that the demolition market was closed because of the COVID outbreak during the second quarter of the year. Demolition activity has resumed. I cannot predict what's going to be the total number of TEUs, which will be scrapped during the year but this is also a positive sign as well.
Liam Garrity-Rokous: Got it. And just really quickly one final question. I know you guys have preferred shares buyback program. Can you just please update us on that program and how much you guys have repurchased to date and possibly in the second quarter? And then how much is that is still outstanding from that program?
Gregory Zikos: We didn't do any – in total, the program has been for like up to $15 million. We didn't make any purchases during the last months because the price of the preferred has moved up. I think today, it's $20, $21 and above. We did some parts let's say during the first quarter, which – like we announced in April, but since then we haven't done anything. I think the program is still open and opportunistically, we're going to be assessing it. But at the level of $20, $21, I think we would wait.
Liam Garrity-Rokous: All right. Thank you very much for taking my questions.
Gregory Zikos: Thank you.
Operator: Our next question comes from Ben Nolan of Stifel. Please go ahead.
Ben Nolan: Thank you. Good morning, Greg. So I wanted to circle around on a couple of things. First with respect to the balance sheet and the debt specifically. Subsequent to the refinancing, I just looked and there was the previous $130 million [ph] repayment schedule for 2020 and then $291 million for 2021. Can you maybe update me on what this post refinancing repayment schedule looks like for this year next?
Gregory Zikos: Yes. For the second half of 2020 the repayment schedule is close to $77 million and for 2021, the whole repayment schedule including some small balloons is now close to $135 million. And for 2022 it's $129 million.
Ben Nolan: Nice. Perfect. No that's helpful. The next thing I was going to ask is really related to the new building market and you talked a little bit about sort of the state of the world, as it relates to where we are at the moment. But I'm curious, if there's been any uptick among the aligners for potentially looking to add new buildings. Or is it a little too early for that? And then also, maybe if you could comment on sort of the competitive landscape for some of those new building orders. Is there still a lot of capital chasing that kind of thing? Or has it become a little bit more selective?
Gregory Zikos: Look, we haven't seen any real new building activity recently apart from a couple of small exceptions where previous options have been exercised for a couple of new buildings from liner companies. But apart from that we have not seen any real activity. Now of course as the market develops and this may change – and as I said from 2022 onwards, the order book is very, very thin. It's like minimal. We haven't seen anything today. Now as a company, generally we have been quite active in new building transactions. And this is something we would definitely look at and we've done a lot of new building deals in the past. So this is something that is definitely of interest to us. But I think today, it is a bit premature to forecast when the new building market is going to return. This could be sooner or later. I don't think it's a matter of time. But today, I don't think that we have any clear visibility.
Ben Nolan: Okay. Helpful. And then I have two just little quick ones if I could. The first is on the idle capacity. Obviously, it's coming down closer to 8%, definitely moving in the right direction. Looks like maybe you guys only have one -- it's maybe one or two that are idle. Have you guys been able to deploy your ships without sort of being hit by some of this downturn as much as everybody else? Sort of -- or could you maybe talk to sort of how you fared and expect to fare in the environment that we're in?
Gregory Zikos: Yes. We have a couple of ships today that don't have employment yet, but we are in the process of employing them. I would say that -- but these are small ships. So I don't think that it could change the fundamentals of our P&L for this quarter or like for the next quarter. Generally, we have been active. We did in total 24 new chartering arrangements since the last quarterly results which I do consider to be a big figure. Also there are a couple of small ships where we are now discussing employment and generally I wouldn't worry about those. I think up to now we have been chartering our vessels, admittedly at levels which are lower compared to as I said earlier the last quarter of 2019 or like beginning of 2020. But still these are at above breakeven levels. And you saw our profitability this quarter like adjusted EPS of $0.26, which is something that I would say makes sense, it's something respectable.
Ben Nolan: Yes. I agree. And then last for me is the write-off. It's pretty big. Could you maybe just talk through -- obviously, I guess it's forced by selling assets. But maybe as you look at your balance sheet as compared to the state of the market, first of all is there -- do you think you need to maybe do further write-offs in the future? And b, is it simply selling ships that is a catalyst to cause that to happen? Or is there another mechanism?
Gregory Zikos: I think – look, the write-off, and I can be more specific, it comes from the two 7,000 TEU vessels we sold 23 years old, which like we sold for scrap at the price of close to like $10 million each. And they had a book value of close to $32 million. And then because we have a third sister vessel, we also took an impairment. There were commercial reasons why we thought that it would make sense to scrap those ships and then use the equity generated at I would say a healthy scrap price in order to replace those vessels with a younger tonnage. And this is what we would expect to do. Because with this equity generated, you can buy ships a similar size, 10 or 12 or 15 years old, so let's say eight to 10 years younger with minimum type of incremental cash outflows. This was the logic behind that. This pretty much is now for the future, I cannot predict. But I think those ships -- and they also had some dry docking expenses which we took into considerations and looking at asset values today we took the commercial decision to dispose of those ships and then use the equity for new acquisitions. This is pretty much it.
Ben Nolan: Okay. And so as you look at the balance of your fleet? There aren't any other -- that you can foresee as of now, there aren't any other big potential write-offs coming down towards you?
Gregory Zikos: Look I cannot predict. We have some other ships which are of similar age. As a company generally we have [in use] [ph] and we like – we manage – we like managing all the tonnage. We don't have an issue with that. However it depends on market conditions. But I have to stress that having some accounting gains or losses in this instance doesn't mean that those assets have not been profitable and that they didn't have a positive cash-on-cash return over the last 10, 15 years we had them in our fleet. Because those accounting losses of course don't take into account the cash flow generated from those vessels. It is just a difference between the book value and the sale proceeds. That's all.
Ben Nolan: Right. Thanks. Okay. Helpful. Thanks Greg.
Gregory Zikos: Thank you.
Operator: [Operator Instructions] Next question comes from J. Mintzmyer Value Investor's Edge. Please go ahead
J. Mintzmyer: Hey good afternoon, Greg. Congrats on a stable quarter and a period of otherwise market uncertainty.
Gregory Zikos: Good morning J.
J. Mintzmyer: Excellent. Yes. So as I'm looking at your total fleet balance I noticed that you scrapped the two vessels Kokura and I was looking to the Kure at the third sister ship you have a short-term charter on that. It was previously reported demolished, but it looks like you're employing it now. Is there any sort of update on that? Do you plan on demolishing that after the short-term charter? Or do you think there's a market to keep her on the water?
Gregory Zikos: Yes. We sold the two vessels just for the record the Kokura and the Kawasaki. And then we have the third sister ship the Kure, which is currently under charter. For this Kure because this is a sister ship we have taken an impairment which has been factored in the Q2 results. Now what's going to happen with this vessel? It depends on market conditions which are generally volatile. We may take the view that we may sell this vessel and the cash proceeds could be used for younger tonnage. Or depending on market condition, we may find deployment for this I'd say for the next 6, 9 months and then take the decision not to scrap it. I mean those decisions are taking 100% based on market conditions rather than on consideration regarding accounting figures. So I'm afraid I cannot predict. It could be solved, but it could also be held. However just to be consistent with the sale of the other two sister ships we decided to take an impairment loss on the third ship as well. This is pretty much it.
J. Mintzmyer: Excellent. So no decision on that one yet? I know it was initially -- came across the wire as all three of them being scrapped. So it's an interesting change there. Look a little detail you disclosed on the Sealand, Washington, Michigan, Illinois, Kolkata, Kingston that's set of six there. You disclosed that those have a base rate I think of 16000. There's like a 50-50 profit share in kind of a range of 12,000 to 25,000. What index is that? Is that like a ConTex or a HARPEX? Or is that actual line or profits? How is that determined?
Gregory Zikos: It is a pre-agreed index with a charterer and this is based on a specific broker who comes up with the latest fixtures for those type of vessels. And we use that index. It is a very -- it is a specific broker with whom we both agree to sort of determine the charter rate for those specific -- for those specific vessels. This happens on a monthly basis.
Q – J. Mintzmyer: All right, very interesting, well that continues to follow that and see what happens. Final question, like -- you have four more new builds coming in. I know that the first one was just delivered here in July. Can you remind us -- I know they're fully financed, but can you remind us what the remaining installment payments are for those five vessels?
Gregory Zikos: Well, it's -- yes they are fully financed on a pre and post delivery basis. The post delivery it is for a 10-year period, because those ships have a 10-year charter, the remaining equity CapEx from our side. In the previous quarter we have announced, it was close to $31 million. Now with the delivery of the first vessel, it's around, I would say $24 million $25 million. This is the remaining CapEx, equity CapEx from our side, for the total of the four remaining new buildings to be delivered. So, as you can see, it's pretty minimal.
Q – J. Mintzmyer: Right, just $25 million of equity CapEx, what about on the financing side? How much more financing needs to be drawn down, just so we can sort of model your balance sheet going forward?
Gregory Zikos: The financing, it's going to be drawn over the next month, up until the first half of 2021. So it's not something that's going to be drawn tomorrow. And there may be some changes in the schedule. I don't have the full figure in front of me right now. However, I have to be careful, because we have not announced the acquisition price. So by giving you the full number and then somewhat divide by five and make some adjustment, probably someone can come close to the acquisition price which, I'm afraid we have not announced. So I'm afraid, I have to stop here.
Q – J. Mintzmyer: All right. Thanks Greg. I appreciate you are trying, and your thought that you outlined for some more of the housekeeping stuff. I appreciate that.
Gregory Zikos: Sure. Thank you.
Operator: [Operator Instructions] We have no other questions at this time. So we'll go back to Mr. Zikos for closing remarks. Thank you.
Gregory Zikos: Thank you for dialing in today and being with us. We are looking forward to speaking to you again, during the next quarterly results call. Thank you.
Operator: This concludes today's conference. You may now disconnect. Thank you.